Operator: Thank you for standing by, and welcome to Symbotic's Fourth Quarter and Fiscal 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Charlie Anderson, VP, Investor Relations. Please go ahead.
Charlie Anderson: Thank you. Hello. Welcome to Symbotic’s fourth quarter 2024 financial results webcast. I'm Charlie Anderson, Symbotic's VP of Investor Relations. Some of the statements that we make today regarding our business operations and financial performance may be considered forward-looking. Such statements are based on current expectations and assumptions that are subject to a number of risks and uncertainties. Actual results could differ materially. Please refer to our Form 10-K, including the Risk Factors. We undertake no obligation to update any forward-looking statements. In addition, during this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's earnings press release, which is distributed and available to the public through our Investor Relations website located at ir.symbotic.com. On today's call, we are joined by Rick Cohen, Symbotic's Founder, Chairman and Chief Executive Officer; and Carol Hibbard, Symbotic's Chief Financial Officer. These executives will discuss our fourth quarter and full year fiscal 2024 results and our outlook followed by Q&A. With that, I'll turn it over to Rick to begin. Rick?
Rick Cohen: Thank you, Charlie. Good afternoon, and thank you for joining us to review our most recent results. We had a strong finish to the year, delivering on our commitment to quickly return to high growth and historical gross margin levels. This was highlighted by completing a record number of system deployments in the fourth quarter, reflecting solid project execution. System starts also reaccelerated to a record level. For the full year, we grew revenue 55% more than double the number of sites in operation and more than doubled our software revenue reflecting our ability to convert our backlog and scale. Importantly, we expect to maintain a high rate of year-over-year revenue growth, while continuing to stabilize our gross margin in our first quarter. Carol will expand on this in the guidance. On the customer front, we recently announced a new customer, Walmex. By expanding into a new geography Mexico, we are now officially executing on all five of the growth vectors laid out at our Investor Day in May, namely customer penetration and expansion, new verticals, new products and now new geographies. Working with Walmex drives home the point that our solution can deliver significant ROI for customers in new geographies and further expands our addressable market. We believe customers in these geographies see the value of palletizing and transportation savings of labor savings. The bottom line is that the number of opportunities we see for our technology portfolio continues to expand, and I'm excited by what that means in both the short and long term for my fellow shareholders. Turning to GreenBox. This -- report GreenBox continues to make progress building out its team, customer pipeline and site network. This quarter, we began deployment on a second GreenBox installation, this time in the state of Georgia. On the innovation front, we highlighted last quarter that we added vision capabilities to GreenBox at customer sites. Among other features, vision gives our customers the ability to perform tele ops which enables remote bot control for enhanced productivity. We have now successfully demonstrated this capability at multiple sites and view it as a key differentiate. Last, we are making targeted investments in both people and products given the expanding opportunities in both new products and new geographies to augment our growth. In summary, this quarter, we delivered on our commitment to quickly return to higher system gross margin, on top line growth and reaccelerate system starts. Our key objectives for 2025 are scaling for growth and investing in our innovation engine all while maintaining a focus on delivering high-quality systems for our customers. By doing so, we look forward to another year of strong top line growth, a significant rise in completed sites as our deployment process improves and expanding profitability. I want to thank our entire team for their efforts, our customers for their trust and our investors for their support. Now, Carol will discuss our financial results and outlook. Carol?
Carol Hibbard: Thank you, Rick. Before I discuss our financial results, I want to address the restatements to our quarterly financial statements included in the earnings press release. As we were reviewing our business processes and preparing our full year financial statements, we identified occurrences during fiscal year 2024 where goods and services primarily related to Symbotic milestone achievements were expensed prior to the time that the corresponding milestones were achieved. The net result is essentially time differences between the quarters within fiscal 2024 and has no impact on our full year results since the appropriate expense were properly recorded in the fourth quarter. Our earnings press release describes the restatements in greater detail, and we have also posted a supplemental presentation with the variances in Investor Relations website which is also included as an exhibit to the 8-K we filed today. As a result of the restatement of the financial results for the previously reported quarters, we will be filing amended Form 10-Qs for fiscal year 2024 to reflect the -- meter included in the earnings press release. We also plan to timely file our 10-K next week. With that, let me turn to our financial results. Fourth quarter revenue grew $577 million, with strong revenue growth driven by solid progress across our 44 systems in the proviso deployment. Our exceptionally strong fourth quarter results reflect a favorable alignment of Symbotic's vendor and customer collaboration and help contribute to $1.8 billion of full year revenue. This quarter, we also recorded our first quarter of net income as a public company. We also delivered on our commitment to increase system starts sequentially. We began nine new system deployments and completed four systems bringing us up to a total of 25 operational systems. Turning to backlog. Our backlog of committed contracted orders of $22.4 billion remained largely consistent with last quarter as the revenue recognized during the quarter was partially offset by final pricing on contracts already in the lane. I will note that Walmex was signed after the quarter end and will be additive to the backlog next quarter. As mentioned earlier, system margins rebounded strongly, returning to historical levels. Gross margin on software maintenance and support is up 50% for the quarter, trending towards typical industry softness as more systems go operational. In operation services, we did experience a slight negative gross margin as we added resources at certain sites where we have large projects and are adding new capabilities. We do expect to improve upon this performance and return to modest profitability in operation services as we move through the fiscal year. We finished the year with cash and equivalents of $727 million which declined sequentially from $870 million in the third quarter. This was driven primarily by the timing of cash receipts that we have since in the first week of October. For the first quarter of fiscal 2025, we expect revenue of $495 million to $515 million and adjusted EBITDA between $27 million and $31 million. We continued strong year-over-year growth stable gross margins and an uptick in OpEx due to investments with alluded share. In short, we are making the improvements outlined this quarter and expect to realize strong EBITDA margin expand as we scale. We now welcome your questions. Operator, please begin the Q&A.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Andy Kaplowitz of Citibank. Your question, please. Andy?
Unidentified Participant: Hi. Hello. This is Natalie Back (ph) on behalf of Andy Kaplowitz from Citigroup. First question, I'd like to ask is the margin -- the first question I'd like to ask is the margins in the quarter were better than you had guided. And for fiscal -- for the first quarter, you're calling for stable growth margin with EBITDA margin sequentially lower. Can you help us bridge what's pressuring the margin in the quarter? And as you think about the remainder of the year, would you say that 1Q could be the lowest margin quarter and that margins could inflect sequentially over the course of the year?
Carol Hibbard: All right. Good evening, and thanks for the question. So our gross margin this quarter hit 19.6%, which was a rebound back to historical levels. So we quickly returned to those historical gross margins. If you remember, our 3Q margin was depressed due to the long-dated construction schedules and the implementation of several improvements that we had put in place. We see that same occurrence in 4Q. As we think through our 1Q '25 guide, it really reflects a continuation in a period of transition to higher gross margins as we focus on achieving several significant milestones across some of our larger systems. We continue to prioritize quality deployments. And then we're going to still be on a trajectory to continue to improve schedule and improve costs and expand those gross margins throughout year.
Unidentified Participant: Okay. Helpful. And then if I could just ask one more question. I think you've spoken about increasing sales penetration in Europe. Can you briefly touch on any updates that you have in that region? And then this quarter announced an agreement in Mexico. Would you say that relatively lower cost geographies could potentially be either Symbotic or GreenBox's customers or was it more of a onetime opportunity with Walmex given your relationship with Walmart?
Rick Cohen: Yeah. So we have nothing new to report on Europe. We continue to have discussions, but nothing new to report there. On Mexico, in new geographies. Certainly, it speaks highly of the relationship that we have with Walmart and the fact that they're happy with us. And working with Walmart on understanding these new geographies, I think we're appreciating some of the value creation opportunities that we're creating in other markets other than just the U.S. where supply chains are different. Transportation is different. Wage rates are different, but there are other things that we add value to. So I don't think Mexico is a one-off. I don't think South America and America are one-offs. But right now, we have our first customer, and we're very excited.
Unidentified Participant: Got it. Thank you so much.
Operator: Thank you. Our next question comes from the line of Jim Ricchiuti of Needham & Company. Please go ahead, Jim.
Jim Ricchiuti: Hi. Thank you. I was wondering, if we could just go back to the quarter and the revenue coming in above guidance. Maybe you could talk a little bit about what drove that? And the follow-up on that is, we don't obviously have a lot of history with the company, but don't recall many instances where we've seen sequentially down revenues. So maybe if you could just help us understand what drove the Q4 revenue performance and what's baked into the Q1 guidance? Thank you.
Carol Hibbard: Yeah. Good evening, Jim. So our 4Q '24 operational performance resulted in the $577 million of revenue. This was a really strong quarter driven by several factors. So we talked about significant progress being made on our 44 systems that are in deployment. We completed four systems, which was a record, and we completed -- and we started nine systems, which was also a record for Symbotic. And the scheduled delays that we had in the third quarter that we talked about those elongated construction delays, they corrected faster than we had planned, which allowed us to complete additional milestones. And so, as we think through the strong quarter, our fourth quarter tends to be very strong. We pull in -- tends to be -- similar to fourth quarter last year, our year-end, we come in at a strong level. Our 1Q guide still reflects continued strong growth. We're guiding to 40% year-over-year as we head into the first quarter.
Jim Ricchiuti: Got it. And Rick, you alluded to some vision technology that you're adding. I wonder if you could talk a little bit about the technology acquisition you made of Veo Robotics, what it brings to you. And just in general, how you're viewing the M&A environment, if we could potentially see additional technology type acquisitions?
Rick Cohen: Yeah. So Veo is a very unique company that has some really valuable IP on safety and access which is very important because our robots move very quickly. And so the opportunity at Veo was really unique, and we jumped on it right away, hired the whole company. They are working here now, great people. And I think we are going to find, even in the last quarter, we have a lot more inbound. We're very focused on being a good acquirer and building good relationships with these companies that we're acquiring. The vision technology that we're employing allows for safety and a bunch of other things to be used in applications that typically aren't used in mobile robotics. So we think there's lots of opportunities, and we continue to get inbound for new technologies.
Jim Ricchiuti: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Ross Sparenblek of William Blair. Please go ahead, Ross.
Ross Sparenblek: Hey. Good evening, guys.
Carol Hibbard: Hi, Ross.
Ross Sparenblek: Hi. The GreenBox is in Georgia announcement. Maybe I missed it. Was that with CNS wholesale or is that a new customer?
Rick Cohen: No. The GreenBox is our -- is our first GreenBox facility that we're building, and we're developing market now to get customers in there. So we're building this without an anchor customer right now, but it will take about two years before or 18 months before the building actually come live and so we're very actively recruiting customers, and we're very focused on a multi-tenant solution, which is where we think GreenBox really offers a lot of opportunity. And we've had a number of inbounds from both small and large CPG companies and other e-commerce companies. And so now that we have a building, we're very excited that we hopefully won't be closing some deals on some customers in the next year or so. But it will take a while before the building is actually ready for deployment.
Ross Sparenblek: Yeah, I can imagine. That's helpful. I mean, how should we think about the financing of that? Is it a CapEx or OpEx decision with you and SoftBank? And this is all to ask. I mean, CapEx has started to tick up a little bit. Is this late in the GreenBox or is it just more capacity expansion as you guys look to kind of double your ability to deliver in the next couple of years?
Rick Cohen: Yeah, it’s both. I mean there will be CapEx that will be spent on the getting the infrastructure and the Atlanta facility ready, and we’re also continuing to invest in new R&D here at Symbotic.
Ross Sparenblek: Perfect. Thank you, guys.
Operator: Thank you. Our next question comes from the line of Mark Delaney of Goldman Sachs. Your line is open, Mark.
Unidentified Participant: Thanks for taking our question. You have Will on for Mark Delaney. And so, for my first question, in fiscal '24, you guys have been targeting one or two new customers per year. Is that for the right framework to think about for fiscal '25. And just kind of on that, when you think about your go-to-market margin and expanding it to some of these new vertical geographies, do you need to expand your sales force as well?
Carol Hibbard: I'll start and then, Rick, you can talk to what we need to do to potentially expand our sales force. So if I think about one to two customers per year, for 2024, our new customer of Southern Glazers, we accomplished that in the first quarter of the year. It seems like forever ago. And as we look forward to 2025, as we announced a few weeks ago, Walmex will be our first new customer in 2025 that will bring our customers set to 10. So I think we're still on that trajectory of one to two customers per year. We always want to make sure we're prioritizing the build-out of our $22 billion backlog with our existing customers. and make sure that we're deploying and executing to the systems we have in our backlog as we create capacity going forward to identify additional new customers. Rick, do you have anything?
Rick Cohen: And we also made the decision this year that we will be expanding our salesforce, and we're in the process of designing what that salesforce would look like and how big it will be. But we will be expanding our sales force.
Unidentified Participant: Okay. Thank you for the color there. And just for my follow-up, on the Walmex deal, I believe you said with two new systems. Pardon me, if I missed it, but how much of that adds to the backlog? And then on the pricing side, do those sites have preferential pricing similar to Walmart, given the relationship there or is this somewhere or is it closer to the Southern Glazers? Thank you.
Carol Hibbard: So Walmart Mexico will add about $400 million to the backlog. And again, we'll do that in first quarter. So that's for two sites. So the two first sites that we have in Mexico are much larger than what we have seen and what we've deployed so far, and they're also greenfield sites. And so the time line in terms of when you actually see revenue contributing for Symbotic will be a little bit different time frame. But the sites are large, we're excited that they are greenfield because it also shows that we have the capability to not only do a brown side, but it is a greenfield. Walmart Mexico is not part of the existing contract geometry. And so that’s why it’s a new customer and a new opportunity for us going forward. We believe that Walmart has clear ambitions to deploy further than the two, but we’re excited to get started on the first two.
Unidentified Participant: Thank you.
Operator: Thank you. Our next question comes from the line of Ken Newman of KeyBanc Capital Markets. Your question, please Ken.
Ken Newman: Hey, thanks. Good evening, guys.
Carol Hibbard: Hi, Ken.
Ken Newman: Maybe just to start on the OpEx side. Carol, I'm sorry if I missed it but can you just give a little bit more color on sizing the OpEx increases in 1Q? Just relative to the tech innovations versus maybe some of the EPC in-sourcing initiatives you highlighted last quarter. Just to clarify, is the in-sourcing done or just how far are we into it before that's all settled?
Carol Hibbard: Yeah. So I'll start on the EPC. So EPC is not going to -- you're not going to see increases in our OpEx that actually flows through our cost of goods sold. So by bringing in the EPC, that is contractual that is part of our build-out of our system. So that's not what you're seeing going in terms of the OpEx. Just to pull on that thread a little bit. As a reminder, we will have a base transition for bringing the EPC back in-house. And so we continue to phase out our prior and Symbotic is taking over incrementally several sites. We've begun the resourcing and hiring associated with the sites that we are taking over. So that work is going well. And we will continue to identify both schedule and cost improvements associated with bringing that in-house. From the OpEx perspective, what you're seeing tick up in 1Q '25 is primarily around R&D and then additional SG&A as we continue to scale. And Rick highlighted a couple of things in the overall script just related to -- we're going to continue to focus on bringing innovation, and that's really what you're seeing in our tick-up in OpEx in 1Q.
Ken Newman: Okay. That's helpful. And then maybe just thinking about the gross margin line. Obviously, I think you're highlighting expectations for that to be stable, 4Q to 1Q. I know steel prices have been a larger portion of your cost, and we've seen that rebound here since the end of September. Obviously, there's some debate on just how much higher that could go just given the tariff situation. Just curious, what are you embedding from a nominal gross margin impact from higher steel costs in 1Q? And any early thoughts you have on what margins could be -- how they could be impacted from tariffs?
Carol Hibbard: So the majority of our contracts on steel have pass-through clauses. And so what we've focused on is making sure that we're identifying a shorter return once we're on contract going and turning on our steel contracts so that we don't have any pricing issues. So we're maximizing that pricing power. And taking advantage of the fact that we've got pass-through clauses in our contracts, and that will continue. So that will give us protection around steel in the event that there are tariffs and higher prices need to go worry about.
Ken Newman: So just to clarify that there. I mean, gross profit dollars are protected, correct? But nominally, margins could be impacted. Is that the right way to think about it?
Carol Hibbard: Yes, correct. Think about it that way. Yeah.
Ken Newman: Yeah. Thanks.
Operator: Thank you. Our next question comes from the line of Damian Karas of UBS. Your question, please, Damian.
Damian Karas: Hey, good evening, everyone.
Carol Hibbard: Hello.
Damian Karas: So obviously, it seems like a fair amount has changed since you guys reported some 3.5 months ago or so, last time around. There's been the removal of some uncertainties out there for investors and the market and the economy just thinking about kind of some of the uncertainty around the U.S. election. And obviously, kind of we're moving forward in this said rate cutting cycle. Just curious if that's changed or helped advance any of your conversations with customers at all or not really just yet and it's kind of still slow and steady on thinking about some of the expansion opportunities with newer customers.
Carol Hibbard: Yeah. I think we always look at the macroeconomic trends, and I fall back on one of the advantages of -- or several of the advantages of our system revolve around the benefits in terms and the return that for a customer in going ahead and making the CapEx commitment, the returns around labor, the returns around availability of resources inventory reduction. All of that will continue as we go into any macro uncertainty in the environment.
Damian Karas: Okay. Understood. And then a follow-up question on Walmex. So beyond the two DCs that you spoke to, what's a good way to think about the potential timing of winning further opportunities with Walmex beyond those two sites and how that potentially plays out over time?
Carol Hibbard: So how we're thinking about Walmex, we're excited to start with that customer, and we're going to focus on the two deployments that we have in front of us. There is an opportunity. There are several thousand stores across Mexico for Walmart. So we do believe there is expanding opportunities there. But first and foremost, we have to perform on the existing sites that we have just contracted for, and that's what's going to be our both.
Damian Karas: Thanks very much.
Operator: Thank you. Our next question comes from the line of Matt Summerville of D.A. Davidson. Matt. Please go ahead, Matt.
Matt Summerville: Thanks. Carol, in your prepared remarks, you mentioned the 44 systems ongoing, a record four completed, a record nine started. How should we think about those metrics, those KPIs, if you will, how they move over the course of '25. I mean, the jump from 39 as an example, to 44 ongoing deployments. I think that's the biggest jump or equal to the biggest jump, obviously, off of a larger jumping off point. But just help me understand how I should think about those three KPIs evolving over the course of the year? And then I have a follow-up.
Carol Hibbard: Yeah. Thanks, Matt. So certainly, the jump from 39 to 44 in deployment is our biggest one we've seen, and that is driven by the fact that this quarter, we started nine new projects. which is a record for us. And I think we've talked about before that we're not going to see a level of nine every single quarter. The considerations around starting a project are a collaboration between ourselves and our customers. We've got to be ready to start as well as they have to be ready to start. I think what we saw this quarter is the four completes. So that's also the highest number we've seen. We've been ticking up from two per quarter to three per quarter and now we hit four. I think you're going to see that continue in that neighborhood of four. And then we've got a lot of progress. And the more we focus on making sure we're hearing the schedule. I think you're going to see that consistent throughout the year. We don't guide on a number of new starts, which I think we've talked about before, nine is an unusual amount for the quarter. A lot of things pulled together for us to be able to start nine. the confidence from our customer as well as we were ready to start. So I think if you think about 2025 from an annual perspective, you'll see additional starts from what we had in 2024, but it's certainly not going to be nine every quarter.
Matt Summerville: Got it. I appreciate that. And then maybe just a little color on, Rick, you mentioned the remote bot capability as part of your prepared remarks. Can you help me understand how that drives more efficiency or more transactions per hour, whatever the right metric is? And then can you also comment on where you're at with your non ambient system development? Thank you.
Rick Cohen: Yeah. So the vision really helps us with the reliability of the robots. So the packaging that we deal with, one of the reasons what we do is difficult is leads pop open. There's us, bottles leak. And so in the past, when we started on this journey, our robots had centers, but essentially they were blind. So now what's happening is that the robot actually sees where there's a problem, can communicate with the operator. And so there's a process of machine learning where we actually teach the robot how to handle these situations. And we can actually run these robots now remotely from anywhere in the world. And so that has made the systems more reliable and it's giving the customers a lot more confidence on our ability to scale and to do bigger systems. So that's the real value of vision. And the vision is complicated because these are not controlled environments. It's not like a fab plan. I mean you need any changes, there's us, there's different products, they leak. So the ability to see and to use the vision and to teach the bot, how to do better is very, very important to us. And it's been a long journey, but we made huge progress there. As far as non-EMV of the work, we continue to get discussions with our customers. We’re continuing to work on that as far as our R&D backlog but nothing new to report on that at this time.
Matt Summerville: Got it. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Derek Soderberg of Cantor Fitzgerald. Your line is open, Derek.
Derek Soderberg: Yeah. Hi, everyone. Just another question on Walmex. Carol, you mentioned that Walmex, you think has ambitions to go beyond those two facilities. I think Walmex has something like 40 or 50 distribution centers. I'm wondering if you can quantify that opportunity, should Walmex sort of roll out Symbotic's across their distribution network as they have plans for Walmart U.S. What does that opportunity look like?
Carol Hibbard: Yeah. We don't want to get ahead of our customer. And again, we're excited to start with the first two, and we want to prove that out. As we look at the overall contribution across Mexico, Central America, South America in terms of the opportunities out there, that has never been contemplated in our TAM or our SAM. And so we think there's billions of opportunity in that space certainly wouldn't attribute all of that to Walmart is certainly, not all of Walmex. We have not quantified what the total amount is. I think you're right to think about it in terms of they have a number of distribution centers servicing thousands of stores, and we hope that we're part of that opportunity.
Derek Soderberg: Got it. That's helpful. And then, Rick, as my follow-up, just around GreenBox. I'm wondering, if you could talk a bit more about the Georgia facility. I'm wondering if that facility, is the point of that profit center or a center to sort of prove as a proof of concept for the market? And then just taking a step back, the GreenBox agreement that you have with SoftBank, I think they committed to $11 billion in orders by 2029. Otherwise, they have to pay you. Is that still generally the framework of that agreement? And do you think you're tracking well along to sort of hit that agreement? Thanks.
Rick Cohen: Yeah. So obviously, the first question, Atlanta is one of those places where there's always opportunity to fill up a distribution center. So Atlanta was almost from day one, that the site that we wanted to go first. We got a good facility. It's over 1 million square feet. A lot of potential customers there. So Atlanta will be a multi-tenant facility. And in some cases, what we're having discussions with people now is some people might say, well, instead of buying a whole system, maybe I just want to run 100,000 cases a week through your system and it's a good test pilot. So we think Atlanta will be very successful and will create a lot of growth opportunities. And some of the customers have already said, well, if we like Atlanta, where else are you going to go? So we feel good about the ability to build out multiple systems. And to your second question, nothing has changed between the relationship between SoftBank and Symbotic, the way we've done this partnership with GreenBox, and we're very excited about where we are.
Derek Soderberg: Got it. Really appreciate it. Thanks.
Operator: Thank you. Our next question comes from the line of Michael Atanacio of TD Cowen. Please go ahead, Michael.
Unidentified Participant: Hi. Good morning, guys. How are you doing?
Carol Hibbard: We are good.
Unidentified Participant: Great. So yes, I just wanted to dive a little bit deeper into the GreenBox announcement I think like initial headlines said it was about $150 million or so for a 1 million square foot facility. So how does that -- how should we be thinking about that from a sizing of Symbotic content perspective? And then just looking at like the revenue margin opportunity for GreenBox, how does that compare to pure Symbotic customer sites? Thank you.
Carol Hibbard: So I'll start with that one and then Rick pile on top, if you like. So the GreenBox Atlanta announcement, our Georgia announcement that I believe you're referring to at $150 million, the press release that was out there. Think about that as the entire warehouse and facility. So a GreenBox site, similar to where we go in and build a system in with our other customers, has a whole lot of other infrastructure associated with it, of which Symbotic a piece of it. So you could consider Symbotic system similar to what our average modified has been on our contracts that we've gotten flow right now for our Symbotic system. So it's no different. But that number that you saw that was out there includes more than just the Symbotic piece of it, that's where the overall how GreenBox will operate that warehouse. In terms of GreenBox revenue and margin opportunity, and so our systems that we are selling into GreenBox are Symbotic system. And so they’re similar in revenue and gross margin like we are selling to our other customers. It’s our portion of that, then we are a 35% JV partner in that, and some of that comes back to Symbotic.
Unidentified Participant: Thank you.
Carol Hibbard: Thank you.
Operator: Thank you. Our next question comes from the line of Rob Mason of Baird. Please go ahead, Rob.
Rob Mason: Thank you, guys. Good afternoon. Carol, I wanted to just circle back to gross margin. Your expectation for the first quarter sounds similar to the fourth quarter in that regard. But how should we be thinking in fiscal '25, the ability to scale that from that level. Have you worked through some of the issues that you talked about last quarter that were pulling gross margin lower? Just where we are on that in terms of the progression?
Carol Hibbard: Yeah. Thanks for the question, Rob. So we've worked through several of the issues that depressed our 3Q margin to lower than historical levels. So I'd say, what we've rebounded in the fourth quarter is a level we will likely see as we head into the first half of next year. What we'll continue to focus on are whether those opportunities to improve as we look at the back half of 2025 and then into 2026. We recognize we're not at the gross margin we want to be. So we're focused on what can we do to improve schedule, which we've talked about in the past. The faster we can complete the where we can save from a cost perspective, and we're continuing to look at ways that we maximize our cost performance as we're building a system.
Rob Mason: Very good. And then, next question is just -- maybe this is for Rick. I noticed during the quarter, you added a new leader with the title around transformation initiatives. And I'm just -- to the extent you can speak to that role, what would you expect that person to bring this Symbotic?
Rick Cohen: Yeah. So we've added quite a few new leaders. But I think who you're talking about is a leader who we expect to be able to help us develop new products faster and is a champion for our R&D efforts. So not necessarily R&D -- doing the R&D work, but actually helping us focus on, which R&D projects would be the most valuable to our customers.
Rob Mason: Very good. Thank you.
Operator: Thank you. Our next question comes from the line of Greg Palm of Craig-Hallum. Your question, please, Greg.
Greg Palm: Yeah. Thanks. I wanted to follow up on the Walmex, if I could, first, I think what struck me as maybe most surprising as your first international win was in Mexico a lower cost sort of labor wage region, which I guess kind of begs the question of what does that mean for your broader TAM, thinking broadly speaking, Asia, for instance, this maybe increase the TAM potential in terms of opportunities of deploying Symbotic in regions maybe you thought weren't maybe at an appetite you saw previously?
Carol Hibbard: Yeah. Thanks for the question, Greg. Yeah. We're -- that's why we're really excited about this particular one. It does emphasize the ROI even in those lower cost geographies. And so Rick alluded to it on an earlier question, it emphasizes sites in lower cost geographies. They are also valuing the inventory improvement, the transportation costs, and just the overall quality of what we are able to deploy. So we do think that opens up the geography. And really gives another proof point that the system provides the ROA even in a low-cost geography.
Rick Cohen: In some ways, what is so interesting and reassuring for us is, in some ways, the U.S. is the hardest market because it really has one of the best supply chains in the world. But when you get to some other markets where the supply chains really are not very sophisticated there's lots of opportunity to take inventory out, probably in labor in terms of inefficient labor and transportation in terms of getting all the right products in the right place at the right time. So we're very excited, and we continue to learn about the opportunities that there are in these markets.
Greg Palm: Got it. That makes sense. And then I guess my other question on gross margin, maybe it's a two-parter. You had a restructuring charge in the quarter, I think, of $775,000. Where was that -- what segment was that in? And you alluded to operation services. By my math, I think that was almost like a 100 basis point drag on total gross margin. So I don't know if the restructuring was in there as well. But like broadly speaking, as you look to Q1, especially in operation services, I think you said it may be rebounds a little bit, but can you just go in a little bit more detail exactly what happened in the quarter there?
Carol Hibbard: Yeah. So the restructuring charge was actually a benefit. And so, what you're seeing there is the restructuring that we did around inventory two quarters ago and we had obsolete inventory. We are working to go sell some of that inventory, and we had a pickup associated with the settling of that. And so that's what that $800,000 roughly was sitting in the restructuring charge. It was actually a benefit. From an operation services perspective, we did have a significant drop in terms of the margin on that. What we saw this quarter is, we added resources at a couple of sites where we have some large projects in deployment. And we expect that run rate going forward will improve over time. We don't expect to see that negative run rate. We had a few sites where we provided additional resources to ensure our projects are moving forward.
Greg Palm: Okay. Thanks for that clarification.
Carol Hibbard: Good. Thanks.
Operator: Thank you. Our next question comes from the line of Mike Latimore of Northland Capital Markets. Your line is open, Mike.
Michael Latimore: Hi. Great. Thanks very much. Yeah in terms of cash flow from operations, how should we think about that over the course of the year? Should that maybe as a percent of EBITDA?
Carol Hibbard: So we really don't have any change to our fundamentals of our working capital. Our cash inflows continue to be front loaded. What you saw in our cash for this quarter was really focused on timing of receipts. And we expect that to rebound as we head into 2025.
Michael Latimore: Got it. Great. Thanks. And then on the -- basically on the EPC investments, I guess you're hiring basically project managers there. Can you just maybe tell us how many project managers you've hired, how many you expect to hire over the course of the year?
Carol Hibbard: Yeah. So I won't quantify the number of people, but we have hired the resources for the first five to seven sites where we’re ready to go deploy. We’ve got program managers in place as well as a couple of the other resources for each of those sites, and we’re moving forward in taking that work on as we indicated last quarter.
Michael Latimore: Okay. Thanks very much.
Carol Hibbard: Thanks.
Operator: Thank you. Our next question comes from the line of Guy Hardwick of Freedom Capital Markets. Your question, please, Guy.
Guy Hardwick: Hi. Good evening.
Carol Hibbard: Hello.
Guy Hardwick: Hi. Carol, I just wanted to understand your comments on the backlog a little bit. I think you said the backlog was stable. I assume you're talking sequentially there, even though there was over $500 million of revenue burn from the excellent quarter you had in systems revenue. So can you kind of explain a little bit more what happened? I think you said something Rick, about contracts being revised outputs, mean to borrow phrase from another industry. It sounds like there's some sort of plus ups there. Can you explain that a little bit further, please?
Carol Hibbard: Yeah. So you got it. It's that simple. So last quarter, we were at 22.8 from backlog, and now we're at 22.4 and you're going to see our backlog adjust as we continue to deploy systems. And so that reflects the revenue of 575 for this quarter, 577. And then every time we sign an individual project, there are pluses and minuses, puts and takes around what our final configuration might look for that. particular project. And so that's what you're seeing as the offset to the reduction from revenue this quarter. But there were no other specific customers additive to the backlog in this course. So the nine new projects that all came from backlog.
Guy Hardwick: Okay. And I just was trying to reconcile your -- what you said about systems in the 44 systems at the end of the year, what you said about completions and starts going forward. I'm just kind of struggling to -- it seems like your revenue guidance is quite conservative given what you said about where you are at the year-end and where you should be in terms of potentially further completions and starts throughout the year. So it looks like Q1 guidance implies that you have quite a big step down in revenue per average system whether you look at on just the system is deployed at the end of the year, system deployment at the end of the year or taking the average of the last 8 quarters. Is there particular reason why that should be the case that revenue steps down on an average system in deployment basis?
Carol Hibbard: Our 1Q guide reflects strong year-over-year growth. And what you're seeing is fourth quarter was and a unique quarter, which we had the highest number of starts that we've seen as well as the highest number of complete and really achievement of significant milestones in this quarter. So our revenue in an individual quarter is more driven by the amount of systems that we have in deployment at a time. And just to the nature of the timing of the milestones and where they're at in their life cycle. And so as we move forward to 1Q, and we've looked at what we have out in front of us in terms of what's in deployment, and that's what our guide reflects.
Guy Hardwick: Okay. Thank you.
Operator: Thank you. I would now like to turn the conference back to Charlie Anderson for closing remarks. Sir?
Charlie Anderson: Yeah. Thank you, and we appreciate everybody for joining our call tonight and your interest in Symbotic and we look forward to seeing many of you during the quarter at the various investor conferences that will attend. Thank you, and goodbye.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.